Operator: Hello, everyone, and welcome to the webcast entitled WWE Third Quarter Earnings. We have just a few announcements before we begin. . I will now turn the call over to Michael Weitz, SVP, Financial Planning and Investor Relations. Please go ahead.
Michael Weitz: Thank you, and good to have investors and our shareholders on the WWE's third quarter earnings call. I'm very glad to welcome everyone. Leading today's discussion are Vince McMahon, WWE's Chairman and CEO; Nick Khan, WWE's President and Chief Revenue Officer; Stephanie McMahon, WWE's Chief Brand Officer; and Kristina Salen, WWE's Chief Financial Officer. Their remarks will be followed by a Q&A session.  We issued our third quarter earnings release earlier this afternoon and have posted the release, our earnings presentation and other supporting materials on our website. Today's discussion will include forward-looking statements. These statements reflect our current views, are based on various assumptions and are subject to risks and uncertainties disclosed in our SEC filings. Actual results may differ materially, and undue reliance should not be placed on them. Additionally, the matters we will be discussing today may include non-GAAP financial measures. Reconciliation of non-GAAP to GAAP information is set forth in our earnings release and presentation, which are available on our website. You should note that all comparisons are versus the year ago quarter, unless otherwise described.  Finally, as a reminder, today's conference call is being recorded, and the replay will be available on our website later today.  At this time, it is my privilege to turn the call over to Vince.
Vincent McMahon: Good afternoon, everyone. As you can see, our solid financial results are pretty strong as a result of the global demand of all things WWE, including a return to live event touring, which is unlike any other media company. This is where the WWE brand really comes alive in so many different respects.  And as a result of the strong indication, we're going to -- we're going to raise our guidance, our 2021 guidance. And that's with the lack of 1 event in Riyadh. Normally we have 2. Because of the COVID situation, we have 1 at end the year. But nonetheless, notwithstanding, we're raising our guidance, which I think is pretty good.  We saw a lot of positive trends, which Stephanie will get to in a minute. And -- but even with the strong recovery, it's opened or eyes to many more ways that we can take advantage of our IP and the evolution of sports entertainment.  That's basically it, then I'll turn it over to Nick.
Nick Khan: Thank you very much, Vince, and thank you, everyone, for calling in. It's nice to speak with you all again. This quarter, I'd like to first offer perspective on our Media segment, hitting on both near-term opportunities as well as our long-term position in a marketplace that continues to put a premium on live rights. After an update on media, I will run through a number of deals we closed over the past quarter that have created new revenue streams for WWE and increased the value of existing ones.  Looking first at near-term media rights opportunities. We have two key negotiations in our sites that will drive value for our company. The first is our RIA rights for Raw on Hulu, which expire in the back half of 2022. The second is the licensing of our direct-to-consumer service, WWE Network, in international markets, which we have discussed previously.  A competitive landscape has already formed around both initiatives. In terms of the Raw RIA rights, we know from the data that there is a substantial and recurring audience who watch the program via delayed viewing week-to-week on Hulu. When we closed the Hulu deal in 2018, the media landscape was quite different, as we all know.  NBCU was an active owner of Hulu, and Peacock was just a nascent dream. We now all know that in a 2021 world, NBCU is a passive Hulu owner and barring exigent circumstances, NBCU's stake will be bought out by Disney at Hulu's 2024 valuation.  Let's keep in mind what we all know. In addition to Disney's initial Hulu ownership percentage, Disney picked up Fox's ownership stake in Hulu with Disney's acquisition of a large majority of FOX 2-plus years ago.  We also recently saw executive shifts from Hulu to Peacock, and we believe that in addition to all other platforms looking for event programming that resonates that the battle for Raw's RIA rights will be intense and fun.  Regarding WWE Network, we continue to execute on a strategy to optimize our value across international markets. We have a model that buyers are responding to. As so many U.S.-based companies look to go international overnight, it sets up a competitive global landscape that none of us have seen over the course of our careers. We continue to believe that will garner great results.  Outside of those media deals tied to our live rights, we are continuing to expand our original programming slate. This quarter, NBCU announced Miz and Mrs would be returning for a third season. Earlier in October, we debuted Escape the Undertaker on Netflix, an innovative interactive show featuring WWE Superstars. 6 months ago, we merged our content units into 1 place, WWE Media.  We recently completed a children's animation scripted project with a streamer and will soon announce a slew of scripted and unscripted programming that demonstrates the weight of our content pipeline. This is an area that will continue to be a priority for us.  We recognize these productions not only generate meaningful economic returns for our company, but that they also expand WWE's brand and help us establish relationships with myriad media companies while making sure that our programming remains young and diverse.  All of this is directly related to our next U.S. rights negotiations. We are as bullish now on those rights as we were when we went into the prior negotiations, which saw an increase in the U.S. from 130 million a year AAV to 470 million a year AAV for Raw and SmackDown.  We have previously discussed numerous deals that demonstrate the continued rise in the value of live. These included recently negotiated media rights for the NFL, NHL, Major League Baseball, the SEC, La Liga and Wimbledon. Media rights that are coming up for renewal are also drawing interest from new buyers, which is expected to further the trend of meaningful increases for those rights.  As an example, we know the English Premier League is looking to get $300 million a year annually versus U.S. rights, doubling the $150 million a year average annual value currently paid by NBCU. That bidding process is expected to be highly competitive, due in large part to the combination of traditional buyers and new buyers like Amazon, ESPN Plus and Peacock. They're all looking for live with dedicated fans to quickly build up their subscriber bases.  Yesterday, Fox announced on its earnings call that they closed a multiyear deal with UEFA for its next 2 European Championships in 2024 and 2028 and for over 1,500 soccer matches, a rights package in excess of which Disney currently pays for its portion of it.  We have all read the rumors of Fox partnering with Fubo, a virtual MVPD on this rights deal. With this sort of tonnage, that partnership made complete sense to us, creative and smart. Live continues to dominate linear while helping to build other platforms, and we are seeing scripted content continue to migrate to streamers.  Both Apple TV and Amazon have been considered front runners for the NFL Sunday Ticket package. Ted Sarandos has publicly expressed that Netflix would rather buy than run sports properties. He seemed to be referring to Formula One coming off of the success of their Drive to Survive program.  Speaking of Netflix, we have seen early cuts of our upcoming Vince McMahon multipart Netflix documentary, which is executive produced by WWE and Bill Simmons, who did the acclaimed Andre the Giant documentary with us. The Vince cuts are out of this world, amazing. Wait until you see it.  As it relates to Bill Simmons, who some have referred to as the godfather of podcasts or the pod father, this past quarter, we closed the deal with Spotify and The Ringer for Spotify to become the exclusive audio network of WWE. The partnership jump starts us in this all-important space while allowing us to leverage the resources and reach of Spotify and its 165 million subscribers. That partnership was announced this past August at SummerSlam when The Ringer hosted live shows for our fans in Las Vegas.  We're confident that with Spotify's expertise alongside our library of intellectual property and our talent that we will deliver an audio product that excites existing fans while also introducing WWE content to the millions of Spotify listeners.  I would also like to discuss some new business with you. As we focus on extracting more value from our IP wheel, further establishing new businesses that expand WWE's brand and drives revenue is a key for all of us. We've had an active quarter creating new revenue streams and increasing the value of existing lines of business.  One area we've spent the last year examining is our strategic approach to pay-per-views. We've looked into all parts of that business that are making adjustments that we believe will enhance our results by making each pay-per-view a special event not only in its content, but in all things surrounding each event.  As promised last quarter, we recently announced our pay-per-view calendar for 2022, the dates, cities, venues. For the first time in our history, we're hosting at least 4 pay-per-view nights in stadiums in the United States.  First, Royal Rumble on January 29 at the Dome at America's Center in St. Louis, a Saturday night, where there is no real competitive programming on the sports calendar. Typically, we have done Royal Rumble a week later during Pro Bowl weekend. However, this year, we wanted to support our NBCU partners and not go up against the Winter Olympics.  Thus far, ticket sales are off the charts, tracking as well as this year's SummerSlam, where we ended up with a gate 4 times the gate of SummerSlam 2019, a clear sign of the value of bringing our tentpole events to major venues on the right night.  Next, in terms of stadium events, a 2-night WrestleMania at AT&T Stadium in Dallas, Saturday, April 2 and Sunday, April 3. In 2016 at AT&T Stadium, we had over 100,000 fans in attendance for WrestleMania. Let's see what 2 nights brings for our Super Bowl. Tickets go on sale next week.  Our stadium event after that, another on of our big 5 pay-per-views, Money in the Bank, the weekend going into July 4, will be back at Allegiant Stadium in Las Vegas. Over 400,000 people are expected to travel to Las Vegas that weekend to celebrate the Fourth. We expect to see many of them at Money in the Bank. About a month later, SummerSlam at Nissan Stadium in Nashville, again on a Saturday, July 30. If you've been to Nashville in the summer on a weekend, it's booming and growing, and we are growing SummerSlam with it.  What we found from this past SummerSlam in Las Vegas, of the 50,000 plus who attended, not 1 ticket was purchased from Tennessee, not 1. So many similarities between those 2 cities on the weekends, not much crossover between those 2 cities on the weekends and a robust ticket buying market in each for us to tap into and grow with.  One other item to highlight relating to our pay-per-view events. For the first time, we're holding an event on the night of New Year's Day from State Farm Arena in Atlanta. As we discussed previously, this upcoming New Year's Eve is a Friday. Both college football playoff games are on that Friday. Usually the NFL will go to a Saturday and Sunday schedule once the college football regular season is over. That is no longer happening on Saturdays late in the season with the NFL's new 18-week regular season, and over 350,000 people are expected in Atlanta for that New Year's weekend.  With the removal of NFL competition and the city packed with visitors, we thought it might be smart to have an event there the next night, again, Saturday, January 1. We expect to benefit from all of those weakened guests looking for entertainment the night after New Year's eve. You may recall seeing Atlanta Hawks NBA All-Star Trae Young interfere in one of our matches at Madison Square Garden in September, all part of our Atlanta strategy. Look for more integration like that across our product.  Another area where we've strategically pivoted in an effort to further grow our business is with a new trading card partner, Panini. As all of you know, the trading card market is booming right now with a handful of companies competing for a select number of deals with the top sports properties.  We received multiple bids from those companies. Panini, with their expertise, doggedness and domestic and international knowledge, proved out to be the best partner for us in this space. The deal is considered -- is a considerable financial step up from our previous trading card deal.  We also recently announced a new multiyear agreement with Fox to launch an NFT marketplace for licensed digital WWE tokens and collectibles. Fox is obviously our existing partner in the U.S. for SmackDown. And coming out of the pandemic, we've been able to spend considerable in-person time with Fox's senior executive team to think of additional ways to work together.  As Lachlan Murdoch, Fox's Executive Chairman and CEO, said on their earnings call yesterday relating to Fox and WWE together in the NFT space, this type of deal will drive new business and the creative and entrepreneurial spirit in all of it.  This new collaboration will create authentic NFTs that showcases WWE's catalog of digital assets, including iconic moments, legendary superstars and premier events such as WrestleMania and SummerSlam.  With our wholly owned intellectual property, we have a competitive advantage in our ability to leverage the immense popularity of NFTs as well as the activities surrounding trading cards and other collectibles. It's been a busy quarter with a sustained focus on strengthening our existing businesses and establishing new revenue streams.  At this time, I'd like to turn the call over to my colleague, Stephanie McMahon, recently named the #2 most influential marketing executive in the world by Forbes. She will cover a number of items, including our significant growth in sponsorship over the past year. Thanks very much.
Stephanie McMahon: Thank you, Nick. And unfortunately, everyone, I have to start with some bad news. WWE Superstar The Miz was eliminated from Dancing With the Stars this week. He did make it to the top 10, and his weekly appearance was seen by nearly 6 million viewers on ABC, raising awareness for both Miz and WWE. As Nick mentioned, we are changing from an arena-based touring model to a stadium-based touring model, allowing us to better align all lines of business around our key tentpole events. For example, SummerSlam was held at Allegiant Stadium, the first time SummerSlam has ever been held in an NFL stadium, attracting a record 51,000 fans and drawing a record gate. As Nick mentioned, more than 4x greater than the last SummerSlam held with fans in 2019.  Merchandise was up 155% year-over-year and more people watched SummerSlam across Peacock and WWE networks than any other SummerSlam in WWE history, with a viewership increase of 55% from 2020. SummerSlam also marked the finish of The Summer of Cena, a strategic move to use one of our biggest superstars to help kick off our return to live events that began on July 16. John Cena became our top-selling talent for merchandise, especially with youth audiences, and he increased ratings for audiences 2 to 17 and 18 to 49 by 20% and 10% during his appearances on Raw and SmackDown. An Instagram video featuring Cena became WWE's most watched native Instagram video with 4.3 million views. And while The Summer of Cena came to an end at SummerSlam, we began new storylines by surprising the audience with the return of The Man, Becky Lynch, and the Beast Incarnate, Brock Lesner. Brock's return broke Cena's Instagram record at 4.5 million.  Sales and sponsorship revenues for SummerSlam were up 18% year-over-year and 25% over 2019, featuring our first-ever official water with Blue Triton's Pure Life and our first-ever official beer with Constellation's Victoria beer brand. We also had an array of sponsors across betting, gaming, wireless, energy and credit card categories with DraftKings, 2K, Cricket Wireless, Cellucor C4 and Credit One. Just as WWE's overall business is nearly 80% contractual, we have shifted our sales and sponsorship strategy from transactional to contractual, pivoting to multiyear 7-figure deals. In 2021, the number of these deals has increased 60%. Additionally, our client spend has increased 44% year-over-year with over 50% returning partners. In the quarter, gross sponsorship sales are up over 20%, excluding a 2020 YouTube bonus payment and partnership allocation.  To help give perspective, there are 4 key areas of growth across sales and sponsorship: content integrations, superstar brands, digital, social and international. In terms of content integration, would you ever see a Pure Life truck drive into Arrowhead Stadium in Kansas City and have Patrick Mahomes spray down fans with a Pure Life branded Super Soaker as part of a touchdown celebration? Or have zombies replace the offensive line for 1 down? My guess is no. But you can in WWE and because we have all the exciting action of a live game but are scripted like a great movie, we can write those integrations in ways that are fun and memorable for the audience and our partners. Or we can leverage our creative writing and media teams to create customized content across digital and social media that is relevant to that platform, like we did with P&G's Old Spice when we introduced a new WWE Superstar with the same name as their new scent, the Night Panther. We produced 16 pieces of original content that delivered over 0.5 billion impressions and 40 million views with 96% of our audience saying they would take action towards Old Spice.  In terms of Superstars, the best comparison I can think of is Disney's Marvel Superheroes. Each Superhero is their own individual franchise and WWE has just begun to unlock some of our incredible IP, which dates back generations with each Superstar being their own brand with their own story. Our biography series with A&E is 1 example. Xavier Woods' UpUpDownDown YouTube gaming channel is another. Becky Lynch on the cover of Golden Crisp or The Miz with his own reality show are just a few examples. And international sales are just getting up to bat as we focus on creating more localized content.  Additionally, engagement metrics continue to be strong for WWE, with a slight increase in television ratings for both Raw and SmackDown despite tough competition from the return of live sports. Digital consumption increased to a quarterly record of 410 million hours, and video views increased 38% to 12.8 billion as compared to a prior year period that had benefited from COVID-19-related viewing trends. And with our renewed emphasis on producing more content for emerging platforms and younger audiences, our video views on Snapchat and TikTok are up 22% and 29%, respectively, year-over-year. Speaking of TikTok, while it is a tight race, we are the #1 sports brand on TikTok over the NBA with 14.5 million followers.  With the continuing focus on innovation and interactivity, WWE was recently announced as 1 of 3 launch partners with Snapchat's new augmented reality division, Arcadia, in which we will be creating fun and unexpected AR experiences for fans at upcoming events. And I would be remiss if I didn't recognize how excited we are for the launch of our console game 2K 22 in March 2022. On yesterday's earnings call, Take-Two President Karl Slatoff said it will be the biggest WWE 2K launch to date.  We are pleased with our overall performance in the quarter, highlighting our ability to deliver on strategic initiatives, captivate a passionate audience and drive value for our business partners and shareholders.  And now I'll turn the call over to our CFO, Kristina Salen.
Kristina Salen: Thank you, Stephanie, and hello to WWE shareholders. Today, I will discuss WWE's financial performance. As a reminder, all comparisons are versus the year ago quarter, unless I say otherwise. In the third quarter, WWE generated solid financial results as we focused on optimizing our return to live event touring, driving fan engagement and increasing efficiency in our content production.  Total WWE revenue was $255.8 million, an increase of 15%, driven by higher ticket and vending merchandise sales associated with our return to live event touring, including SummerSlam. Adjusted OIBDA declined 8% to $77.9 million as the growth in revenue was more than offset by higher television and event-related production expenses. To review the third quarter performance in more detail, let's turn to Slide 3 of the presentation, which shows revenue, operating income and adjusted OIBDA contribution by segments.  Looking at the WWE Media segment. Adjusted OIBDA was $85.6 million, a decline of 16%, primarily due to the increase in production expenses, which I just described. That increase reflected in part the lower cost of producing televised content from our training facility in the prior year quarter. Media segment revenue increased slightly as the contractual escalation of WWE's core content rights fees from the distribution of Raw and SmackDown were partially offset by a decrease in network revenue. The latter was driven by the timing of license fees associated with the delivery of WWE Network content to Peacock as compared to the recognition of subscription revenue in the prior year quarter.  In mid-July, we transitioned our television and pay-per-view production from the Yuengling Center in Tampa Bay to the arenas and stadiums that are part of our touring model. Recall that in the third quarter of 2020, we were producing a barebones production out of our performance center in Orlando for much of the quarter until we established our WWE ThunderDome experience in late August 2020. These changes in venue were the primary determinant of the year-over-year increase in production expense.  Now let's turn to WWE's live event business on Slide 5 of the presentation. Live Events adjusted OIBDA was $9.3 million, an increase of more than 3x or $13.5 million due to a 39x increase in revenue with the return to live event touring, including the staging of SummerSlam. Recall that in the year ago quarter, we staged no live events or ticketed fare. As we said, we are thrilled by the return to live event touring. During the third quarter, average attendance for our 38 events in North America was significantly above 2019, reflecting heightened consumer demand for our live events. And for the fourth quarter, we continue to anticipate ticket demand and profit per event that is at least on par with 2019.  Looking at WWE's Consumer Products segment on Slide 6 of the presentation, adjusted OIBDA was $7.5 million, growing 34%, due to higher sales of merchandise at our live event venues, including our record-breaking SummerSlam event. In our Consumer Products business, we've continued to develop new partnerships and products as we align with evolving consumer preferences, including the tremendous interest in NFTs, trading cards and memorabilia. Earlier, Nick described our newly formed partnership with FOX in the NFT space and Panini. Importantly, he also extended our global master toy licensing agreement with Mattel, a partner whose popular WWE action figures and other toy products comprise a meaningful share of our licensing revenue.  Now let's turn to WWE's overall cash generation, as shown on Slide 7 of the presentation. During the third quarter, WWE generated approximately $45 million in free cash flow, declining $66 million primarily due to the timing of collections associated with our large-scale international events in the prior year quarter and to a lesser extent, an increase in capital expenditures. Notably, during the third quarter, WWE returned $31 million of capital to shareholders, including approximately $22 million in share repurchases and $9 million in dividends paid. To date, we've repurchased approximately $200 million of stock, representing approximately 40% of the authorization under our $500 million repurchase program.  As of September 30, 2021, WWE held approximately $449 million in cash and short-term investments. Debt totaled $221 million, including $200 million associated with WWE's convertible notes. The company has no amounts outstanding under its revolving line of credit and estimates related debt capacity of approximately $200 million.  And finally, a word on WWE's business outlook. In January, WWE issued adjusted OIBDA guidance of $270 million to $305 million for the full year 2021. During this third quarter, key performance metrics demonstrated positive trends, and we continue to realize heightened demand for live events and better-than-expected television production efficiencies. Based on outperformance to date and revised expectations for the full year, we are raising our guidance. Adjusted OIBDA is now expected to be within a range of $305 million to $315 million with the staging of 1 large-scale international event. The revised full year guidance implies fourth quarter adjusted OIBDA of $75 million to $85 million as compared to $51.2 million in the fourth quarter of 2020. The projected year-over-year growth reflects the impact of staging 1 large-scale international events, which we were unable to stage in the fourth quarter of last year, contractual increases in media rights and higher revenue and profits from the return to live event touring. These factors are partially offset by an expected increase in operating expenses.  Turning to WWE's capital expenditures. Through the first 9 months of 2021, WWE has incurred about $24 million in capital expenditures, primarily to support our technology infrastructure and restart the construction of our new headquarters.  While we continue to anticipate increased spending in the fourth quarter to support these initiatives, we also anticipate lower capital expenditures during the remainder of the year than previously estimated. For the full year 2021, total capital expenditures are expected to be within a range of $60 million to $75 million, lower than the previous guidance of $85 million to $105 million. The revised range does incorporate some potential supply chain disruption and associated potential timing-related changes in spending. In the third quarter, WWE generated better-than-expected revenue and adjusted OIBDA results. The robust demand for our events and increased consumption programming across platforms highlights the strength of our brand and reinforces our belief that continued innovation can enhance the value of our content and our products.  That concludes our remarks, and I'll now turn it back to Michael.
Michael Weitz: Thank you, Kristina. Christie, please open the lines for questions.
Operator: . First, we'll go to Eric Handler with MKM Partners.
Eric Handler: Two questions for you. First, Nick, since you mentioned the day 2 rights for Raw and the DTC International Lights exhibitive network, do you have a time frame on when you'd like to have those deals done by? And then I have a follow-up.
Nick Khan: Thanks, Eric. A couple of things. On the day 2 rights, the deal was up latter half of 2022. So certainly, it's going to be done by then, perhaps sooner. And on the international rights, the lack of ability to travel, which has obviously freed up over the last couple of months, slowed down what would have been a quicker process, but that process is now sped up. So we're confident we're going to come back to you with news in short order.
Eric Handler: Great. And then a second question, I guess also for you, Nick. Historically with WWE productions, the profitability was rather negligible for a lot of this programming. Is that changing now? Are you looking at some type of cost-plus model? What's sort of the economic model behind all of these TV programming events?
Nick Khan: I remember in the last call, you had asked about scripted and unscripted content as well. So thank you for that question. It's a total flip of the model from a few years ago. So instead of self-financing films and sequels to films, it's about licensing our intellectual property and content in the scripted and unscripted space. So obviously, no risk, there's no investment by us. It's a paid project, paid to us and as you know, in the television and streaming space, great success means great profit, mediocre success still means profit. So in either scenario, we've got a lot going on, a lot of closed deals that we haven't yet announced that we will announce, and it should work out okay.
Operator: And next, we'll go to Laura Martin from Needham.
Laura Martin: A couple. Maybe, Kristina, for you. My recollection is that social media has a lot of exposure on YouTube and Snap, and you guys talked about the increase of 22% on Snap. I was wondering if you were affected by the drama of the iOS 14.5 upgrade and whether you're seeing negative consequence to your ad revenue coming out of your social media advertising revenue stream?
Kristina Salen: Laura, thank you for question. The quick answer is no, we weren't affected, and we haven't seen impact on our advertising revenues coming from social to the negative. In fact, our revenue streams from social continue to grow very nicely.
Laura Martin: Okay. Great. And then my other 1 is you guys had mentioned NFTs a couple times. So is that -- could you size that for us and sort of more generally, how do you feel about this -- the role of the metaverse and going into the digital online world? And do you sort of think that NFTs are going to be -- is meta going to be actually a bigger deal like leaving the live -- you guys really work in the live world, physical world. But how do you feel about the metaverse? And within that context, how big do you think NFTs could be as a part of the new metaverse?
Nick Khan: We think it's robust now. We think it's going to continue to evolve and become perhaps even more robust, and we think it's here to stay.
Operator: And next, we'll go to Brandon Ross from LightShed Partners.
Brandon Ross: So over the past several quarters, it seems like there's been a lot of turnover at the mid- to upper levels of management. And you took some onetime restructuring and/or severance charges. Can you talk about what the organizational goals are that you're trying to achieve with new blood? And to what extent you're trying to become a leaner organization from a cost perspective? And then if there are additional changes we should expect? And I have a follow-up.
Nick Khan: Sounds good. Brandon, it's Nick. So a couple of things. We want the most efficient business model possible. that produces the best amount of high-end content possible. So to us, it's about having the right people in place to do those jobs. So over the last year and change, we've all collectively looked at it and make sure that it's the right eyes, the right brains focused on the right things.  It seems to be working in terms of raising guidance while only doing 1 big international event when the guidance was based on 2 international events. We think you're seeing the profitability across the board here. So we're happy with the way it's going, and I hope it continues. You had a second question, you said?
Brandon Ross: Great. And yes. And then I wanted to focus on NXT a little because you definitely made some changes over, I think, the last month or so. I wanted to see how you felt about the progress and whether you felt like you were achieving the goals of the revamp.
Nick Khan: We think it's all starting the way that we wanted it to start. So we wanted a younger, fresher, in-ring approach. We think we have it. You've already seen some talent from the new NXT elevated to the main roster. There's going to be more of that. Our recruiting efforts, which we can go through at a later date, which are spearheaded by Paul Levesque and Bruce Prichard and a number of other folks here, are focused on young athletes who may not, at this moment in time, be in the "wrestling space." And we think all of those results will come to fruition in the right way, and that NXT will continue the way it's already building.
Operator: And next, we'll go to Benjamin Swinburne from Morgan Stanley.
Unidentified Analyst: It's Marianne on for Ben. Just two questions on my end. First, can you talk about your international content rights expectations, especially as it relates to your larger territories like India and the U.K. in the context of your, like, revamped international distribution strategy for your streaming products? And is there any possibility that you will maybe ink a deal in the MENA region as well?
Nick Khan: Sure. Thank you for the question. This is Nick. Keep in mind, our existing India deal with Sony is an all-encompassing deal that includes the premium rights. So that's a deal that's already in place. In the U.K., BT, our existing partner, Raw, SmackDown and NXT. There's currently conversations about what the best plan is for WWE Network in that territory. We should have some news soon. And in the MENA region, we continue to work on progress, not done yet, but certainly something that we remain optimistic and bullish on.
Unidentified Analyst: Got it. And my follow-up question is on your general programming strategy. How do you think about the trade-off between keeping IP on WWE Network versus linear? Thinking specifically about a show like NXT that has moved kind of between both mediums.
Nick Khan: Thanks for that question as well. It's a fine line. It's something that we're in constant dialogue about what is best on WWE Network on Peacock in the United States, agnostically in other international territories, with certain international partners in different international territories and what's better to sell to third-party companies. It's all about eyeballs and exposure and, of course, over-delivering for our partners. So there's not a science to it, but there's certainly a lot of dialogue behind all the decisions that are made.
Operator: And next, we'll go to Curry Baker from Guggenheim Securities.
Curry Baker: One on sponsorship. Can you guys maybe help us size the opportunity there? I know it's an area I think the company has historically undermonetized and looking at other sports comps. Can you maybe help us think about the ultimate opportunity and maybe the strategy to get there over the next couple of years?
Stephanie McMahon: Sure, Curry. This is Steph. Thank you for the question. There is no reason why in the next 3 to 5 years, we couldn't be in the hundreds of millions of dollars. And in terms of -- sorry, in terms of the strategy, it's really the 4 key buckets that I laid out earlier in my remarks, the content, our talent, digital, social and international.
Curry Baker: Okay. No, that's helpful for framing. And then maybe a quick 1 for Kristina. On the guide for the fourth quarter, you obviously have -- if we look at where you were fourth quarter last year, $51 million EBITDA. You've got a number of positives, the Saudi event, live events and then also cost escalators on the contracts. Can you maybe help us think about incremental expenses in the fourth quarter?
Kristina Salen: Incremental from the third quarter, you mean?
Curry Baker: Yes. Yes, exactly.
Kristina Salen: Well, I think if we can talk a little bit about third quarter versus fourth quarter, Curry, I think what you see is the driver will continue to be live events from a top line perspective. And when we compare the third quarter versus the fourth quarter, remember that we'll have fewer pay-per-views in the fourth quarter, in part because of the great decision that we made to move our December pay-per-view to January 1, to day 1 in Atlanta.  And so when we look at the first quarter, we'll have more -- potentially 3 pay-per-views in the first quarter of next year. So from a fourth quarter perspective, sequentially live event OpEx will follow in line with -- from a pay-per-view perspective as well.  But all that being said, our live event demand continues to be, as I mentioned in my remarks, at least at par with 2019 both in terms of ticket sales and per event profitability. So we continue to see a lot of strength for our live events.  Another thing to remember sequentially as well is how we allocate network revenue as it relates to our Peacock partnership and that's directly correlated with the number of pay-per-views we have in any given quarter. And so for that reason, if you'll recall, second quarter with the -- with WrestleMania is our largest allocation, third quarter with SummerSlam is a large allocation. And when we get into fourth quarter, of course, we have our 1 large-scale international event, and we have a Survivor Series but it will be a lower allocation relative to Wrestlemania and SummerSlam. So those are all the sequential puts and takes to consider as we move from third quarter to fourth quarter. But again, our guidance -- our adjusted OIBDA guidance relative to year-over-year indicates strong growth coming in the fourth quarter.
Operator: . Next, we'll go to David Joyce from Barclays.
David Joyce: A couple questions. First on licensing. There was pull forward due to moving on to Peacock earlier this year, but it seemed like it was later this quarter. Was there going to be more volatility in the license comparability going forward? Or is there more of that smooth kind of visibility path there?  And then secondly, I wanted to ask about the shift to more of a stadium model. What will that do to overall event volume given that you've got weeklies for Raw, SmackDown, NXT? Is there going to be any -- are the larger scale events going to replace some of those effectively? Or is there something incremental here?
Nick Khan: If it's good by you David, we'll go in reverse order there. Last time you had asked about M&A consolidation. So I take it you're satisfied with that at this moment in time, which is great. In terms of our stadium events, no, it's not going to have any impact on the frequency or tonnage of Raw, SmackDown or NXT. Those remain 52 weeks a year, barring exigent circumstance 3 times a week. These pay-per-views are separate above and beyond that. We just have seen the appetite for more fans in right cities at the right time on the right night. So the model is based on that. Thus far, it's proven out with SummerSlam. We believe it's going to continue to prove out in 2022.
Stephanie McMahon: And David, just to clarify your licensing question, you were referring to the licensing of the network to Peacock.
David Joyce: Well, there were some licensing movements in your results this quarter, there was some comparability changes there. I was just wondering if there's -- should we expect some volatility in that line going forward?
Stephanie McMahon: If you're referring to the licensing of the network to Peacock, as I mentioned before, we allocate -- the cash we receive in any given quarter from Peacock is the same. We allocate that revenue based on the contribution of the pay-per-view events in any given quarter.  So a Wrestlemania quarter is the greatest allocation, followed by SummerSlam and so on and so on. So that's how we think about licensing of the Peacock allocation. If you're talking about licensing generally, what I would say is a number of the things that Nick mentioned in his remarks, over the course of the next year, will have a positive impact on licensing of our products and our brands.  He mentioned, for example, NFTs and the partnership we have with Fox. He referenced Panini. And in my remarks, I referenced our extension with Mattel, our toy licensing partner. So there are a number of positive impacts on licensing that from a year-over-year perspective will have a positive contribution going forward. Does that answer your question, David?
David Joyce: Yes, yes, that's fine.
Operator: Yes, with no further questions in the queue, I'll turn it back to Michael Weitz for closing remarks.
Michael Weitz: Thank you, everyone. We appreciate you listening to the call today. If you have any questions, as always, please do not hesitate to contact me, Michael Weitz, 203-352-8600.
Operator: And that does conclude our call for today. Thank you for your participation. You may now disconnect.